Operator: Thank you for standing by, ladies and gentlemen and welcome to the Star Bulk Carriers Conference Call on the Third Quarter 2015 Financial Results. We have with us Mr. Petros Pappas, Chief Executive Officer; Mr. Hamish Norton, President; and Mr. Simos Spyrou and Mr. Christos Begleris, Co-Chief Financial Officers of the Company. At this time, all participants are in a listen-only mode and there will be a presentation followed by a question-and-answer session. [Operator Instructions] I must advise you that this conference is being recorded today Wednesday the 18th of November, 2015. And we now pass the floor to one of your speakers today Mr. Pappas. Please go ahead sir.
Petros Pappas: Thank you, operator. I'm Petros Pappas, Chief Executive Officer of Star Bulk Carriers and I would like to welcome you to the Star Bulk Carriers' conference call regarding our financial results for the third quarter of 2015. Before, we begin, I kindly ask you to take a moment to read the Safe Harbor statement on Slide Number 2 of our presentation. Turning to Slide 3, our third quarter results have been impacted by the continued weakness in the dry bulk market. We recorded an adjusted net loss of $24.5 million or $0.11 per share and adjusted EBITDA of $6.1 million on net revenues of $49.1 million during the quarter. Given the current challenging market, we are focusing on improving operating efficiency and taking all available actions to maintain our liquidity in order to get through this downturn. We are using four main levels to do that. Increasing charter coverage as the market permits, further using OpEx and G&A expenses, managing our new building program and disposing off vessels. I will now pass the floor to my colleagues to explain in more detail the actions that are being taken to maintain and enhance the liquidity of the company. Hamish, you have the floor.
Hamish Norton: Thank you, Petros. So with very little availability of long term charters we have booked charters when we see opportunities in the short period market. From the beginning of Q3, onwards we have increased our chartered coverage by chartering 12 vessels for an average period of 7.5 months. We’ve been able to reduce the cost of operating our fleet significantly during 2015, operating expenses are now excluding pre delivery expenses on the new buildings for Q3 were $4,237 per vessel per day, which is down 12% from the same period last year. Our net cash G&A expense for the quarter continued to improve and was reduced to $1,097 per day per vessel, a reduction of 31.3% from last year's figures. These figures establish us as one of the lowest cost operators in the dry bulk industry. During the year, we've actively been negotiating with our shipyards and we have managed to agree on some measures that benefit the company’s liquidity. In Q3, we agreed to defer the delivery of four new building vessels from the fourth quarter of 2015 to 2016 preserving our liquidity and you know at some point increasing the vessel resale value as its going to be one year younger. In total, we’ve deferred $464 million of installments from 2015 into 2016 and shifted our new building vessel delivery schedule by an aggregate of 105 months across the fleet. And we continue to work with the yards to find measures that improve our liquidity in the near term. Finally, during the third quarter we sold three vessels, a modern Supramax and two 90s built Panamax. Net sales proceeds for completed vessels sales were approximately $27.9 million in Q3 and we also received approximately $3.8 million of gross sales, proceeds from the sale of an unlevered 90’s built Panamax and we expect 11 million in net equity proceeds from the transfer of a newbuilding which proceeds will be received in 2016. I would now like to pass the floor to one of our co-Chief Financial Officer, Simos Spyrou to walk you through our third quarter 2015 financial highlights.
Simos Spyrou: Thank you, Hamish. Let us now turn to slide number 4 of the presentation for a summary of our third quarter 2015 financial highlights in comparison to last years same period. In the three months ending September 30, 2015 net revenues adjusted for non-cash items less mortgage expenses amounted to $49.1 million, 94.5% higher than the $25.2 million for the same period in 2014. The revenue increase is attributable to the significant growth in the average number of vessels to 71.2 in the third quarter of 2015 from 31.5 in the third quarter of 2014. Adjusted-EBITDA for the third quarter 2015 was at $6.1million versus $9.7 million in the third quarter of 2014. Excluding non-cash items and one-off expenses, our adjusted net loss for the third quarter amounted to $24.5 million or $0.11 loss per share versus $2.2 million adjusted net loss or $0.03 loss per share in the same quarter of 2014. Our time charter equivalent rate during this quarter was $8,702 per day compared to $11,159 last year. This is due to a weak rate environment in 2015. Our average daily operating expenses excluding $1.6 million of non-recurring pre-delivery expenses were $4,237 a reduction of 12% compared to the third quarter of 2014 similarly adjusted figure of $4,816. Our average daily G&A expenses excluding non-cash items and including any management fees that we paid to third-party managers were $1,097 per vessel per day compared to $1,596 during the same period last year representing a 31.3% reduction. As of September 30, our total cash balance including restricted and pledged cash stood at $245.6 million. On the liability side, total debt as of September 30, 2015 stood at $1,013.5. Based on the above our net debt was $768 million on September 30, 2015. Most of the reduction in our daily operating expenses and in our daily G&A expenses are mostly the result of economies of scale from managing a larger fleet. Having said that, I will now pass the floor back to Hamis for an update on chartering and our operational performance for the quarter.
Hamish Norton: Thank you, Simos. Kindly turn to slide 5. On the chartering side we’ve increased our coverage when we find opportunities in the market to book rates and turns that we find attractive. We’ve taken advantage of a short lived increase in rates in July and have chartered 12 vessels from Q3 onwards for an average minimum duration of approximately 7.5 months at an average fixed rate of $8782 per day. We monitor the chartering market daily and will charter vessels on longer periods when we find offers at acceptable terms. Please turn to slide 6 where we summarize our operational performance for the quarter. In a difficult market environment low break even rates are vital and we aim to continue being one of the lowest cost dry bulk operators going forward. We believe that managing our vessels in-house provides us with a distinct advantage in terms of quality and cost. On the bottom left graph, you can see that we continue to improve our average daily OpEx per vessel in Q3 to $4,237 per vessel per day at 12% reduction compared to one year ago On the bottom right graph you can see the evolution of our average daily net cash G&A expenses per vessel. These are lower than the same quarter in 2014 by 31.3% at $1,097 per vessel per day and this is another area where we have direct contributions to our bottom line from the fact that we spread the cost of our headquarters employees over a much larger fleet. We are focused on maintaining the highest standards of vessel maintenance, safety and operation with over 88% of our vessels that are managed by Star Bulk having a rating of five stars, the maximum rating by right ship the wedding [ph] organizations. We expect that as we continue taking delivery of our newbuilding vessels many of which are sister ships to each other, we will have further synergies across our fleet that will enable us to further reduce our operating and G&A expenses. On a fully delivered basis with a fleet of 88 vessels we expect we will have achieved approximately 39 million in annual cost savings from OpEx and G&A expenses relative to cost structure that we had before the merger with Oceanbulk. Slide 7 illustrates that Star Bulk is one of the lowest cost operators among U.S. listed dry bulk fewer [ph] states on first half 2015 publicly available information and nine months 2015 information for Star Bulk. Star Bulk has operating expenses as we’ve said of $4,325 per vessel per day which is 17% lower than industry average excluding Star Bulk of $5,245 per day. Of course we don’t give up there, we continue to look for and find additional savings and the process is not likely to stop soon as we believe eternal cost vigilance is the price of remaining competitive. And now I pass the floor to our co-CFO Christos Begleris to continue with an update on our agreements with yards and our vessel disposure.
Christos Begleris: Thank you, Hamis. Please turn to slide 8 where we summarize the agreements with yards and their effect on the company’s liquidity. Overall we have been in constant discussions with the yard building our vessels to further improve the payment and delivery schedules. We maintain excellent relations and continue to constructively find measures that improve our liquidity in the near term. Our agreement are summarized as follows; firstly deferral of 464 million of pre-delivery and delivery installments from 2015 to 2016. In total we have shifted our newbuilding vessel delivery schedule by 105 months in aggregate for an average of 5.2 months per vessel. Secondly, the assignment of two lease agreements for two newbuilding vessels at no extra cost to the company with equity savings of $23.2 million. Thirdly, we have managed successfully in negotiating with our builders purchase price adjustments on a number of our newbuildings for a total of 25.8 million. A direct effect of this agreements is delaying the delivery of 14 vessels from 2015 to 2016 has benefit of increasing the resale value of these vessels in today’s price due to permanent one year reduction in age. The graph on this page illustrates both the shift in CapEx payments, as well as the reduction in the total amounts the company will need to pay to take delivery of its fleet. At the bottom of the page, you will also see our updated CapEx schedule as of November 16, 2015 as well as the committed debt amount we have for these vessels. Moving to slide 9, we want to provide an update on our fleet and the vessel sales we have executed. As of today our fleet currently consists of 70 vessels on the water. We are continuing to take delivery of our eco newbuilding vessels adding 2 new Kamsarmax and 2 Ultramax vessels in Q3. In October, we also took delivery of one more Ultramax building. We now have 18 vessels remaining to be delivered all by the end of 2016. During the quarter we sold three vessels, a modern Supramax and two 90's built Panamax vessels. Net sales proceeds for completed vessels sales were approximately $27.9 million in Q3 and $71.6 million from December 2014 through today. This includes the gross profits of $3.8 million received for the sale of Star Nicole in October 2015. We also have future contractual equity proceeds of approximately $11 million from the sale of a newbuilding vessel to be seen in 2016. We currently have 5 unlevered vessels: 1Capesize, 2 Panamax, 1 Supramax and 1 Handymax vessel which can be sold or financed if more liquidity is required. Having said that, I will now pass the floor back to Petros for a market update and his closing remarks.
Petros Pappas: Thank you, Christos. Please turn to slide 11 for a brief update of supply. During the first ten months of 2015, approximately 28 million deadweights or 3.7% of the in-the-water fleet has been scraped and/or committed for demolition. The Capesize fleet currently stands at similar levels to November 2014 with 98 vessels having been sold for scrap vessels 85 vessels delivered during the same 12 month period. Reported new dry bulk orders for 2015 year-to-date are at approximately 15 million deadweight or 1.9% of the existing fleet ordering increasing during the last two months in order to beat the first of January 2016 date where new rules will increase the cost of vessel new building by $3 million to $5 million per vessel. The order book has decreased from 25% to approximately 16.5% of the fleet during the last year and a significant share of it will never be delivered as indicated by the increased conversion and consolidation activity that took place during this year. Dry bulk fleet growth during the last 12 months is presently at 2.6% and expected to only marginally increase till the end of the year. Between 2016 and 2018, increased orders from other shipping sectors and consequent limited first year yard capacity are expected to further limit dry bulk supply growth. Let's now turn to Slide 12 for a brief update of demand. Dry bulk trade growth during 2015 came to a halt mainly as the consequence of a slowdown in China’s demand and the ongoing decline in commodity prices that incurs stock depletions. China iron ore stock buyers have decreased by 20 million tons to last year while coal stocks at major power plants have decreased by 25 million tons during year-on-year. During the first ten months of 2015, China imports of iron ore and coal decreased by 1% and 30% respectively. On a positive note, Chinese mining industry has also been affected by the correction of raw material prices. Between January and September 2015, China’s production of iron ore and coal decreased by 9% and 6% respectively. It has been reported that over 80% of Chinese iron ore and coal mines are operating at a loss, whilst international miners have been assisted by favourable exchange rate movements. According to Clarkson's latest reports total dry bulk trade for full 2015 is projected to be flat. Iron ore trade is projected to grow at 1%, mainly as a result of lower steel production and stocking. Coal trade is projected to decrease by 3%. The decrease in Chinese domestic coal production, weaker hydro power generation this season and depletion of coal and iron ore stocks are viewed as mildly positive developments. Grain trade in ton-miles is projected to increase by 3% due to healthy import growth in the Pacific. Minor bulk trade will grow at approximately 2% during 2015. Now looking into 2016, we expect that the first half may be especially challenging which should ultimately be seen as a positive factor as it will encourage further scrapping and will largely discourage new building orders. The second half should start improving and we expect that during 2016 as a whole, demand should start picking up in comparison to 2015. To engage in a bit more of detail and in a matter of sense low oil and raw material prices should ultimately fuel the world economy and translate into increased GDP growth rates. According to the latest IMF forecast, global GDP growth for 2016 is projected at 3.6% up from 3.1% for 2015. Despite China's GDP growing at a slower pace, the implementation of structural reforms and government incentives as well as monetary stimulus in the form of fixed interest rate cuts are expected to support real estate and infrastructure investment. India's steel consumption growth is projected to accelerate to about 7%. The Asian infrastructure investment bank plans to finance large scale infrastructure projects starting from 2016. Coal ton-miles in the Pacific region should gradually improve due to Indonesian export substitution and as the stabilization of China’s imports. Grain and minor bulk trade are expected to also benefit from the low commodity price environment with Latin American exports receiving additional support from favourable exchange rate movements. Finally, we highlight once again that the most important market improving factor is owner’s supply response. Absence of ordering and increased demolition during 2015 have assisted to slowly caped fleet growth for the next couple of years. Owners’ negative psychology and unavailability of yard space prior to the second quarter of 2018 will play an important role in further containing supply. This is the most challenging market I have encountered in my 37 years in dry bulk shipping. We are nevertheless committed to take all necessary measures to maintain our liquidity in the short term and protect the value of the company in the long term. Without taking any more of your time, I will now pass the floor over to the operator to answer any questions you might have.
Operator: [Operator Instructions] From Deutsche Bank your first question comes from the line of Amit Mehrotra. And your line is now open sir.
Amit Mehrotra: Yes thank you operator. Good morning, afternoon. Petros or Hamish can you just talk about the sale on purchase market. Are you seeing any acceleration in dry bulk vessels available for sale and more specifically has Star Bulk recently increased its efforts to sell additional vessels as maybe a lever to further improve the runway and position of the company.
Petros Pappas: Well you know selling vessels is obviously one of the things that we discussed as a way to improve our liquidity situation should it need improving and you know I think you shouldn’t be surprised that if we need extra liquidity that that would be one of the methods we would use. And you know we have a number of vessels that have maintained their value pretty well and you know I have significant equity in the -- in case of a sale.
Hamish Norton: And there are vessels in the market for sale, but I think most of them are vessels that are Chinese built.
Amit Mehrotra: But you haven’t seen in the last three to four weeks a step up in the number of vessels on the market?
Petros Pappas: Not really.
Amit Mehrotra: Okay. And then Christos and Simos just wanted to get your perspective on what the company’s ability is to whether you know like asset values and I’m particularly interested in sort of loan to value covenants on both the existing debt on the balance sheet as well as the impact on the committed debt amount and you know on the existing debt on the balance sheet just wanted to get an understanding of how the LTV [ph] test work and how often you have to conduct those and then -- how much cushion do you think you have. And then on the $583 million committed debt financing you expect, how much of that do you expect to actually draw down based on you know where the asset price environment is or may go over the next few months?
Christos Begleris: Sure. Hi, Amit. On your first question, we have a corporate net debt to market value of the assets that is say that 80% and is tested on a quarterly basis. Net debt accounts for debt less cash available for the company. On the basis of evaluations of as of September we are actually in the high 50s or low 60s. So there is obviously significant room there. And market value of asset is defined to include the book value of work in progress at the yards.
Amit Mehrotra: Okay, and then. Sorry, go ahead.
Christos Begleris: Sorry, I was going to answer your second question unless you have any more questions on that.
Amit Mehrotra: No, no that’s very helpful. I was just going to follow up on the second question.
Christos Begleris: Great. So as per our presentation there are 582 million of committed debt out of this figure approximately 270 million is connected to bare board leases which are fixed to the contract price and therefore we are projected to drawdown on the whole figure. The remaining approximately 310 has LTV based at delivery of the vessel, between 60% to 67%. Lately if you ask us we have been drawing down 1 million to 2 million less on the committed debt that we have had for specific vessels.
Amit Mehrotra: Okay, great. Thanks so much, Christos. That's really great amount of detail. Thank you. One last question, housekeeping item, can you give us the cash and growth debt balance as of November 16. And I just want to ask you because basically you provided the capital commitments as of November 16th, but I think the last time you updated us on the cash and gross debt balance was as of October 12th, that's the last presentation. So, if you can just give us on like-for-like basis so we can sort of compare the perspective cash outflows and inflows? Thanks.
Simos Spyrou: Yes, Amit, the cash figure as of to-date is $237 million and the gross debt is $1.6 million and the net debt figure is close to 770.
Amit Mehrotra: Right. Okay. Thank you very much guys. Good luck. Appreciate it.
Christos Begleris: Thank you, Amit.
Operator: Thank you very much indeed. Now from JPMorgan your next question comes from Noah Parquette. Your line is now open.
Noah Parquette: Thanks. I had a question, I mean, obviously you guys are going through all the options you have -- doing a great job, but has debt deferral been on the table? Is that something you had discussions with you know assuming the market stays that for another year, can we see like 2009, 2010 or I think the first of a term loan payment?
Christos Begleris: We have a great relationship with our banks, but as we've laid -- we've laid out a lot of ways. We can improve our liquidity without taking that step, but if the market become such that that's step is required, we probably will be able to have a very constructive discussion and reach a mutually beneficial agreement, but the market is not there at the moment and may or may not ever get there.
Noah Parquette: Understood, okay. And just moving out to the market, at this kind of second half of this year we saw a real slowdown in scrapping. Can you talk about what you think draws that or is it just more hope among owners or just lower scrap prices? And I guess looking forward with the falling assets in the last month or so, do you think there is potential for scraping that come back up to where it was?
Petros Pappas: Hi, Noah. Yes. Well, the first reason why scrapping slowed down, we should remember that the first six months of the year was about 21 million tons. And right now there's another 7 million tons for their four and half months of the second half. The reason for this slowed down is because people expected that the market go up, but there is no question about that, that's one reason. Also the fact that prices went down, scrap price went down had also took its toe. And I think also the weather conditions in India and Bangladesh and Pakistan during the second half of the year are usually not very conducive for scrapping, so it’s a combination of the three. I think the major reason was however that people expected the stronger market in the second half. Now for next year [audio gap]. Prolong recoveries, something or what some people are talking about structural decline of the dry bulk market, given the situation, the over supply in the steel industry and the coal industry?
Petros Pappas: Many questions actually. I could be talking to you for the whole night.
Noah Parquette: I have time.
Petros Pappas: I think we definitely have a structural problem in two ways, first of all, there's no question that there is a slowdown in China and that steel production will be much lower – the growth of the steel production will be much lower if not remaining around the same from where it is. So that's the one structural issue. And a second structural issue is coal. There is also a trend there for less use of coal, so in that sense we have a structural issue. Now, in my view, we're starting in – we're going to having a new normal in this business. I don't [audio gap] I'm not sure that for a few years we'll be seeing very high demand. This year demand was – is going to be about zero or thereabouts. We expect demand next year perhaps to be around 2% or 2.5% there's number of reasons that I can discuss later on if you need about that. But there is also cyclicality here. We are in a situation where most commodity prices are down. And one measure problem is that there is backwardation in coal and iron ore. Meaning, coal prices and iron ore prices next year cheaper than they are this year. So, that doesn't give much incentive for the users of these commodities to buy now. They can buy next year. Of course at the same time, we have a steel price contango for next year, which really means that if you take combination of this two, lower prices of commodity in the next year, but higher steel prices, this might help this marketplace to be profitable next year in the steel markers. So, that's the demand side. Now on the supply side, we should not forget that we're having like 70 million tons of deadweight coming in next year. And we also have about 20 million tons slippage from this year. So it's going to be in total 90 million tons for next year. Now, we expect that one-third of that 30 million tons going to be scrapped. And we also expect that one-third of that will slip towards 2017. So, we think that supply is going to be about 30 million tons which is about 4%. So, we are going to be seeing a situation where we'll see a supply of about 4% and a demand – potential demand of about 2%, 2.5% somewhere there. Therefore and I think most of that is going to be coming during the first half of the year. The good thing that this is market is cyclical and seasonal as well besides being cyclical. Therefore we might see a very slow market the first six months. However that will induce people to scrap and it will probably be a stronger demand situation in the second half of the year. So I personally look at it as a positive thing. We need to see a bit of blood in the streets so that people don't order and people scrap. And we're not extremely far away from things turning around because in 2017 for example, our calculation is that net supply is going to be about 1.5%. And 2018 is going to be about 1%. So if you ask me I believe that we'll get to the point that you ask, somewhere in 2017 onwards.
Noah Parquette: Thank you, Petros for this detailed analysis. I also want to follow-up on Amit's question about the sale and purchase market. And obviously in times of a great distress, lot of big fortunes are been made. At what point you think that there is time to buy more vessels and also in the sale and purchase market, how much interest there is from the traditional buyers in acquiring vessels. What is the situation there? Are there enough buyers are there at this point or they're just waiting for the market to go further down?
Petros Pappas: I think that the best point in time to buy is going to be the first semester of next year. Whether there are a number of buyers? I think there are buyers around, so they are bottom pickers, but I think maybe there would be more coming first half next year, but that is going to be the best time to buy in our view. We think that whoever invests during the first six months next year is going to do very well in this investment.
Noah Parquette: And one last question regarding your sponsors, they have quite supportive to the company in growing its fleet base. Given the fact that there might be more opportunities next year? Do you think that there is a possibility of additional capital coming from the sponsors that they can be either to support further liquidity or to grow given the opportunity that might come?
Simos Spyrou: Basically, we have no idea of what their intensions are in that regard. I would point out that Petros and I and the rest of management are very large shareholders of Star Bulk relative to our personal network and whatever we do with Star is going to be done so as to maximize the value that the shareholders get.
Noah Parquette: Thank you very much, Simos. Thank you very much for your answers.
Simos Spyrou: Thank you.
Operator: Thank you very much. Now from Arctic Securities, your next question comes from the line of Erik Stavseth. And your line is now open, sir.
Erik Stavseth: Good morning, guys. So, I mean, I'm looking at your cash position. I'm looking at the freight rates that [Indiscernible] indicates. It does seem to me that you might be facing running out of cash in late 2016. And you mentioned a series of rates to mitigate that problem, but did you find that the equity issue is also part of this solution potentially or is that the absolute last resort for you guys?
Petros Pappas: At the time, equity price is certainly not an attractive option, and there were other options that are more attractive. And we've pretty much described all of them I think at this point, but equity is last on our list.
Erik Stavseth: Considering the fact that you're seeing the market most improving next year maybe little bit, I mean, and potential down for the asset values, you're still, I mean, that will clearly push your equity lower to the extend?
Simos Spyrou: I don't know that any particular market move is guaranteed to push our equity price lower. At this point the equity price seems to have basically separated from underlying asset value and company prospect, but there are lot of ways that we can raise cash, and it obviously depends how bad the market is, how good the market is, when it turns up, but we can last a long time in a very bad market.
Erik Stavseth: Okay. And then my last question, that relates to Q4. I mean, we've been hearing, I mean the Q3 now down $8 per ton of the Brazil. We've been hearing people fixing $2,500 a day for 90-day voyage. Do you see Q4 potentially earning up lower than Q3 for first half based on the achieved rates?
Christos Begleris: This is possible, but we have another month and a half to get to that. Also its possible, because China has basically run down their stocks, it's possible they might push imports into the first month or two of 2016. I'm not exactly fortune teller. This has been of course a big surprise to everybody. I think in my very long history I have never seen a Q4 which has been as bad as it is today. But as I've said before I see this as a positive thing, because this market needs to get rid of some supply. So, the more of this – the more of vessel scrap and they quicker will get back to on track.
Erik Stavseth: Keeping our fingers cross. Thanks.
Simos Spyrou: Thank you.
Operator: Thank you very much indeed, sir. Now from AXIA Capital Markets your next question comes from the line of Rob Perri. Your line is now open, sir.
Rob Perri: Hi, gentlemen. Thanks for taking my call. I just had a quick market question and then I wanted to follow-up something on the balance sheet, but given the fact that we had, let's say, the problems in Brazil with the iron ore, I was wondering where you see you know and Vale [ph] coming out saying, they see about 3 million tons being of loss production this year. Are you seeing any – is there other – say, is there other ore coming out of iron of Brazil or is that all being taken out of let's say Australia or anywhere else in the market from a ton-mile prospective, I'm just trying to sort it out?
Christos Begleris: I think that, I don't if Vale has any additional stocks that they could export to replace. I'm not -- to this information if possible, because I remember that early in the year they did have some of that sort, but if not then we'll unfortunately see it from Australia. However, these 30 million tons per annum, I think about more than half of it like 65% of it actually goes to the Atlantic. So that problem is going to be the balance, 35%, so 10 million tons, because if it goes to the Atlantic, this could actually even turn to be not so bad if they could import them – if Europe could import them from somewhere else, but if all of this went to China than it would be a huge problem, but it hasn't, so the problem would be to the tune of perhaps 10 million tons in my view.
Rob Perri: Understood. Thanks. And just quickly on the balance sheet stuff. I know you guys had some maturities coming up in the near term, but not in the near term, let's say in the next 18 months. Has there's been any conversations or appetite from some of the banks given some of your vendors that maybe there's opportunities there to take some of the matter bit of a discount?
Christos Begleris: Hi, Rob. No, but there's definitely no opportunity for us taken by at a discount even that the banks believe in our credit and we'll not sell them at a discount at this moment.
Petros Pappas: We are in discussions to attend financing for those maturities and those are ongoing.
Rob Perri: Understood. Thanks guys. That's all. I appreciate the time.
Petros Pappas: Thank you.
Operator: Thank you very much indeed. And your next question from Seaport Global comes from the line of Charles Rupinski. Your line is now open, sir.
Charles Rupinski: Thank you operator and thank you everyone for talking my questions. Thanks for the color on the industry. I get lot of out that and I appreciate it. I just wanted to know if there's any color on the whole cape chattering pools and how much of affect you might that having over the next cycle in terms of getting traction there? Thanks.
Petros Pappas: Basically it's not the pool. It's just a corporation at this point in time. To be honest it has benefited us in information. I don't think it has made much of a difference as far as incomes are concern, but information is always important for the long term. So, when the market – when there is more supply, much more supply than demand, a pool doesn't help us much. When things will turn around at some point in the future then will make much more of a difference. And definitely of course in my view if this was a real pool with the revenue sharing agreements then it would have more of an impact. For now, it is just an operation between a few companies where we exchange information mostly.
Charles Rupinski: Okay. And just a follow up on the -- I mean are there different scenarios in terms of how the market develops that what push it towards becoming more of a pool versus what it is now, would market conditions change or is that just something that’s ongoing?
Petros Pappas: I don’t think it has to do a lot with market; it might have more to do with the personalities of the people involved. It started among five friendly companies and we are getting to know each other ways. So, who knows about the future? I don’t think we’ll have to do much with the market, remember the market is as bad as it can be right now anyway. So, I mean usually people go for pools when things are bad. When things are good, they get more individualistic.
Charles Rupinski: Okay, well thanks for the color and I very much appreciate it.
Petros Pappas: Thank you.
Operator: Thank you very much indeed sir and as there are no further questions at this time gentlemen. I shall pass the floor back to you for closing remarks.
Petros Pappas: We have no closing remarks, except that we should be strapping vessels continuously for this market to turn around.
Operator: Thank you very much indeed. And with many thanks to all our speakers today. That does conclude the conference. Thank you for participating. You may now all disconnect. Thank you, Mr. Spyrou. Thank you, gentlemen.